Nimesh Balvir Patel: Hello, and thank you for joining us for our presentation of Spirax Group's half year results. I'm Nimesh Patel, Group CEO, and I'm joined by Louisa Burdett, Group CFO. As this is an online presentation, please type your questions into the Q&A box on the webcast at any time, and we'll address as many as we can at the end. I'll start by summarizing our performance in the first half. Against a challenging macroeconomic backdrop, we continue to deliver against our operational priorities by focusing on the controllables, driving group organic sales growth of 3% ahead of industrial production growth with adjusted operating profit growing 7% organically. Our group margin was 19.3%, 70 basis points ahead organically as we maintained pricing and cost discipline while also investing in future growth. The demand trends that I highlighted at the time of our full year results have continued. In particular, we're seeing strong demand growth in biopharm and semicon alongside modest IP growth and weakness in large project demand from China and Korea. In STS, organic growth was 3%, excluding these large projects, which is well ahead of IP ex China of 1.7%, which demonstrates how focusing on our direct sales in target sectors to self-generate MRO and solutions sales is driving growth. Including the large project headwind, STS sales were in line organically with the first half of last year. In ETS, demand for our process heating solutions remained strong with double-digit growth in the first half, while semicon demand also improved double digits. This strong growth in demand, alongside our continued delivery of operational improvements, which are increasing throughput from our manufacturing facilities, resulted in ETS organic growth of 10%. In Watson-Marlow, earlier this year, we reorganized our direct sales teams around target sectors to bring greater focus to developing and better leveraging process expertise and building deeper customer relationships. We are seeing the benefits with demand growth in Process Industries well above IP and additionally, benefiting from large contract wins with medical device OEMs, specifying delivery in the second half. Biopharm orders also grew at more than 10%, with shipments heavily weighted to the second half of the year as we expected and reflecting the shape of the demand recovery. Therefore, Watson- Marlow organic sales growth in the first half of 2%, supported mainly by Process Industries is expected to accelerate in the second half with confidence supported by our strong order book. The restructuring, which we began in January, is on track to deliver annual savings of GBP 35 million, funding our investment in future growth that I'll speak more about later. And cash conversion in the first half improved from last year to 61%, reflecting discipline in the use of capital and returns on investment. Our continued focus on the controllables through the implementation of our Together for Growth strategy is how we drive organic sales growth and improving margin in this more volatile and uncertain economy. Our progress in the first half is why we remain confident in our outlook and why we are reiterating our guidance today. Let's now review the environment in which we're operating. Industrial production growth remains an important lead indicator across our businesses. And as you know, we outperform IP through the execution of our business model and strategy. As you can see from this slide, the macroeconomic backdrop remained challenging with IP, excluding China, consistently revised downward for both the first and second half. The temporary increase in the H1 forecast in March was due to stronger-than-expected performance in the U.S., which was then revised back downwards in April following the announcement of U.S. trade tariffs. The table shows IP across our key markets with half of our sales coming from markets where IP contracted in the first half, such as Germany, France, Italy and the U.K. and the U.S., where IP remained weak. Second half forecasts anticipate an improvement in some of our key markets. But as you'd expect, our internal planning has more cautious assumptions just as it did at the start of the year. For China, IP forecasts remain uncertain, and we continue to see a wide range of expectations across different providers. That's why we continue to highlight IP ex China. And second half IP ex China is now forecast to be lower at 1.7% rather than the 2.1% that was forecast in February. I'll now talk you through 2 important drivers of our growth in 2024. the impact of this weak backdrop and political instability on large project demand as well as the demand trends we're seeing in biopharma. STS sales were in line organically with the first half of 2024 after, and as expected, we faced meaningful headwinds in China and Korea. These markets account for around 20% of STS sales and 10% of group sales. As you know, both have a higher proportion of sales coming from large projects funded from customers' capital budgets. Unsurprisingly, in light of uncertainty around tariff barriers and costs to global trade, business confidence has been impacted and longer-term capital investment decisions delayed. In China, we highlighted this headwind early in 2024, and we explained how we pivoted to driving MRO and solution sales from the large installed base. A year ago, there were no dedicated MRO sales engineers in China. Now we have 20 and are expanding. We've increased site visits by nearly 10%. Customers are responding. We delivered double-digit growth in these sales in full year 2024 and again in the first half of this year. As a result, while overall demand continues to decline in China, the rate of decline is moderating. We expect demand for capital projects will stabilize and then return to growth. Together with continued progress in MRO, we see a path to China once again being a contributor to STS growth at some point in 2026 or 2027. In Korea, macroeconomic challenges were compounded by political instability. This led to a significant decline in demand in the first half, again, particularly in large project orders. Following elections and a proposed economic stimulus package, we anticipate improved demand in the second half. We saw a sequential recovery with the second quarter up on the first quarter, and this continued in July and August. Our sales pipeline also continued to grow in the first half and particularly in Q2, indicating customers are deferring rather than canceling investments. Together, first half sales in China and Korea were down 9% on last year. In the second half, we anticipate absolute demand from China and Korea to be in line with the first half. If we now look at the underlying performance of STS, you can see in the chart on the left that excluding these large project sales, STS sales grew organically by 3% compared to IP ex China of 1.7%. This is a clear demonstration of our business model at work, strengthened through execution of our Together for Growth strategy, which I'll speak to later. Looking now at another important demand driver, biopharm, which accounts for close to 50% of Watson-Marlow sales and 12% of group sales. We are continuing to see a strong recovery in biopharm demand post the COVID vaccination decline when from 2021 to 2023, new order intake halved. As we explained in March, sales between 2022 and 2024 were supported by pulling down on the very large backlog that had been built over COVID with customers rephasing rather than canceling shipments. Our order book had normalized by the end of last year. During the first half and continuing last year's trend, end-user demand grew strongly, and now we are also seeing a recovery in OEM demand, which was previously highly volatile. Biopharm orders in the first half grew over 10%, having also grown double digits in 2024. Orders are now again exceeding sales, which underpins our confidence in second half sales growth. Having explained these market-related drivers of demand, I'll now hand you over to Louisa to take you through our first half financial performance in more detail before I then provide an update on our strategic progress.
Louisa Sachiko Burdett: Thank you, Nimesh. Good morning, everyone. Before we start, a couple of presentational points, which will be familiar to you. The numbers we will be discussing today are the adjusted results and a reconciliation between statutory and adjusted operating profit is included in the appendix. And with the absence of material M&A in the period, our definition of organic growth only excludes the effect of currency movements on sales and profit, which in the first half was minus 3% on sales and minus 7% on operating profit. So trading for the first half was in line with the expectations we set out in May. From a group perspective and on an organic basis, revenue was 3% higher versus the prior period, ahead of IP and driven by growth in ETS and Watson-Marlow, with STS flat compared to the last year. Operating profit grew 7% with operating margin 70 bps higher at 19.3%. Net financing costs of GBP 18.6 million were lower than the prior period due to lower average net debt and lower rates on floating debt. As expected, the effective tax rate was 27.4% and adjusted EPS of 137.6p per share was flat versus the prior period, consistent with the small decrease in operating profit and the increase in the effective tax rate, which were offset by lower financing costs. We are increasing our interim dividend by 3%. Turning to the sales bridge on the next slide. As noted, currency movements had a negative impact of GBP 28 million or 3% on first half sales. Organic sales in Steam Thermal Solutions were level with the first half of 2024. Strong growth in MRO and solutions sales offset the anticipated weakness in large CapEx aligned projects in China and Korea. And as you've heard, adjusting for these large projects in China and Korea, the rest of steam grew 3% despite the weak IP backdrop. ETS first half organic sales growth was 10%, reflecting ongoing operational improvements in process heating, a contract win from an OEM supplier of temperature management solutions to data centers and improving semicon demand in equipment heating. Watson-Marlow sales grew 2% organically, supported by growth above IP in Process Industries with biopharm broadly level on 2024. Double-digit order growth in biopharm in the first half with shipments weighted to the second half will underpin higher sales in the second half, and that reflects the shape of the biopharm demand recovery that we had expected. The bridge on the next page details the movements in adjusted operating profit for the first half. Currency movements had a negative impact of GBP 11 million or minus 7%. Operating profit in Steam Thermal Solutions grew 3% organically, higher than the growth in sales, which was driven by manufacturing efficiencies alongside savings from our restructuring program ahead of reinvestments, which are weighted to the second half. The operating margin in Steam at 23.4% was 60 bps better organically compared to the first half of 2024. In ETS, operating profit grew by 12% organically, driven by higher volume and continued efficiencies in process heating. Operating margin in ETS was up 60 bps organically to 15.3% before adjusting for a one-off 30 bps negative currency movement related to the U.S. tariff announcements in April. As we highlighted in the 2024 full year results, we are still processing some legacy orders through the Ogden pipeline which have not been repriced for inflation, and this moderated the first half margin relative to the strong sales growth. The ETS margin, however, did increase progressively through the first half, underpinning a stronger margin trajectory into the second half. Watson-Marlow delivered organic profit growth of 12% and a 240 bps increase in margin. In addition to volume, trading margin improvement was driven by manufacturing efficiencies and similar to STS delivery of some net restructuring savings in advance of reinvestment. Corporate expenses remained at approximately 2% of group sales, including investments in support of key strategic initiatives in digital and sustainability. Turning to cash flow. Our operating profit to cash conversion rate was 61%, up from 53% in the prior period, driven by a lower working capital outflow and lower capital expenditure. We were able to deliver a small increase in cash flow compared to the prior period and a reduction in net debt despite GBP 13 million of cash spend relating to restructuring. And we ended the first half with net debt of GBP 658 million and leverage of 1.8x EBITDA. Our CapEx of GBP 34 million was 4% of sales, and I will draw out 3 quick items of interest. GBP 7 million was spent in the first half on the completion of our new low and medium voltage production facility in Ogden, which will be commissioned for use shortly. In ERP, we are currently focused on common design and build before deploying CapEx through each business unit. And as we noted at the full year results, we have paused the planned expansion of our Gestra facility in Germany. We have started a formal process with the local works council to explore ways of achieving greater efficiency and better performance. Now let me talk you through, on the next slide, how we see the second half shaping up. Overall, we are expecting an acceleration across the second half based on the strong order books at the end of the first half, continued recovery in key end markets and further delivery of our operational priorities. In steam specifically, you will hear from Nimesh in a moment about the success of our growth initiatives in MRO and distribution partnerships, which will continue into the second half. Importantly, in China, we are expecting the decline in large projects to start moderating in the second half. And we also expect to see an improvement in trading in Korea now the political situation is stabilizing, indicated by higher order growth in Q2 versus Q1. We expect STS margin in the second half to be similar to the first half. In ETS, we expect further improvements in throughput in process heating. There is second half weighting to revenue on volcanic projects, and we will also see further impact of the semicon improvement in equipment heating. All of these will support sales momentum into the second half, although I would remind everyone that we are up against a much tougher comp than in H1. The second half organic growth in 2024 was 15%. As I mentioned earlier, ETS margin increased progressively through the first half, and we expect a higher margin in the second half because of drop-through, positive mix and a small net restructuring benefit. In Watson-Marlow, higher sales conversion in biopharm is expected in the second half given orders above sales and OEM trends stabilizing. In Process Industries, we have a relatively large customer order in medical equipment with specified H2 delivery dates. But more generally, the Process Industries team is delivering growth above IP. Following the reorganization, our sales teams are now better supported to develop deep expertise in their customers' processes and maximize opportunities from accounts with the highest potential. The establishment of an inside sales team focused on serving smaller customers and less complex orders has also allowed sales engineers to increase the frequency of customer visits, and this is driving double-digit growth in demand through sectors like wastewater, mining and medical. We expect second half margin in Watson-Marlow to be broadly in line with the first half with further benefits from manufacturing efficiencies and the drop-through from higher sales, enabling us to step up investments in future growth. For the group, the tariff environment remains uncertain, but we expect to continue to mitigate the financial impact of this through surcharges, prices and limited reorganization of manufacturing activities. So on my last slide, turning to guidance. Our group guidance for the full year remains unchanged. We continue to expect organic growth in group revenue in line with 2024. And we also continue to expect mid-single-digit organic growth in adjusted operating profit. We have outlined in the RNS and the presentation today the business unit by business unit expectations for sales and margin, which are consistent on a full year basis with the guidance that we gave in March and that we are reiterating today. The P&L charge for our restructuring program remains unchanged at a total of approximately GBP 40 million. However, the cash outlay will be spread over 2025 and '26. Other group guidance factors are included in the appendix of your pack. And just briefly, CapEx guidance is similar to the first half of 4% to 5% of sales. We're guiding for lower net financing costs than previously guided, and our current FX outlook is unchanged from the trading update in May at minus 3% and minus 6% on sales and profit, respectively, for the year. I'll now hand you back to Nimesh for the rest of the presentation.
Nimesh Balvir Patel: Thank you, Louisa. I'll now turn to how we're executing on our strategy. You'll be familiar with this slide from our full year presentation. The progress we've made in driving sales and profit growth in the first half despite the macroeconomic challenges is because of what is set out on this slide. We have 3 strong engines of growth, sharing a common and powerful business model, focused around our experienced direct sales engineers who leverage local relationships with over 100,000 customers in nearly 70 countries and generate revenue from mostly OpEx-funded budgets in largely defensive sectors. We have clear medium-term targets and a plan to deliver them through our operational priorities, which are: commercial excellence, how we build on our sales capacity and capability; operational excellence, how we become more productive and efficient in our manufacturing; and organizational fitness, how we improve the way we work across the organization to better serve customers. These allow us to better leverage our resources and help fund targeted investments in our future growth through digital and services and decarbonization, which in turn will support the delivery of long-term targets. Using this framework, at the full year results, we set out our specific areas of focus. I wanted to remind you of these and to update you on progress in the first half, including sharing just a few examples of delivery. Starting with commercial excellence. Our focus in the first half has been on generating MRO and solution sales in all 3 businesses, supported by sales engineers walking customers' plants to identify optimization opportunities and enhanced by developing our digital connections and systems audit capability, both of which generate service revenues as well as product pull-through. In STS, we are also redefining our partnership approach to distributors aimed at leveraging our direct sales engineers' expertise to generate solution sales from new target customers. In Watson-Marlow, we are delivering double-digit demand growth through the successful sectorization of our sales engineers who were historically geographically focused, as Louisa has explained. In ETS process heating, our bespoke heating solutions, including our medium voltage offer, continue to be a differentiator, supporting double-digit growth in demand, including from decarbonization-related orders, which I'll speak about later. Turning to operational excellence. You've heard from Louisa that we're delivering operational efficiencies within and across our 3 businesses, driving benefits in material usage, procurement and labor productivity. And we're implementing the consolidation of manufacturing facilities, including completing the closure of our STS facility in Mexico and transferring production to the U.S.A. In ETS, we continue to drive operational improvements, particularly in Chromalox, where in the first half, we have successfully increased throughput, which is now up over 25% since 2023, demonstrating the progress we made last year and this year. And you've heard about the progress we're making in organizational fitness with our restructuring well advanced and on target, the savings from which will fund our investment in future growth. I'll now give you 3 examples of commercial excellence on the next slide. Starting with an example from the U.S.A., where STS has reframed its approach to working with distributors that represent around 70% of local sales. By thinking differently about how we partner, we are now co-generating opportunities to accelerate growth through defining combined go-to-market strategies in jointly targeted sectors and customers. We have well-developed growth plans in place with 8 key distributors. And in the first half, we generated 20% orders growth from these partnerships. We have more in the pipeline for the second half. Direct sales and co-generated opportunities now account for approximately 50% of total U.S. demand. The second example on this slide from ETS in Mexico demonstrates how a combination of commercial and operational excellence served an OEM customer by creating a bespoke solution for an essential component to be used in data center temperature control. Our sales and supply teams work together, combining solution selling with responsive and flexible manufacturing to deliver a successful pilot that has since translated into a material contract win. To meet the order volumes that will support growth in the second half and beyond, we have set up a bespoke and dedicated production line. The third example explains how Watson-Marlow's sectorized approach is delivering growth. In the U.K. wastewater sector, we provide peristaltic pumping solutions to OEMs and direct to customers, requiring a multilayered approach to engagement. The sector is highly regulated with utility companies required to employ precise chemical dosing to maintain water quality. Historically, only diaphragm pumps were specified in regulation. Our wastewater team worked with key industry stakeholders, supporting them to develop new mechanical and electrical specifications that now incorporate peristaltic dosing pumps, opening up additional revenue streams. As an example of the impact, we saw 60% growth in sales from just one chemical customer that switched to our Qdos pumps with more to come. These are some of the drivers of our near-term growth. Now I'll speak about how we're building on our foundations to accelerate long-term growth. Through our digital and services growth driver, augmenting our customer relationships by being more connected with them, we walk the data as well as walk the plant. We connected an additional 400 customer sites in the first half, providing real- time data on their critical processes and taking the total number to 1,400 sites. The data from our connected products such as steam trap monitoring and machine learning-enabled pumps is driving service and product pull-through revenues. We're also increasing customer-facing time direct sales engineers. Following completion of a pilot last year, we have now expanded the sectors and scope for our AI knowledge assistant, MiM, broadening its applicability. It's now being actively used to support sales engineers, saving them, on average, over 4 hours a week, mostly in researching specific production processes or product applications and in developing solutions. Moving to decarbonization. You will remember that we talked about our nearly GBP 7 billion opportunity at our last Capital Markets presentation. This is a 60% increase in our current annual addressable market. How is this estimated? First, the electrification of steam generation, which we size based on today's installed base of fuel-fired boilers in our target sectors and regions. We've assumed adoption will take decades, constrained by factors such as customer appetite to invest, availability of green electricity and grid transmission capacity. But even then, this is still a GBP 2.4 billion annual addressable market. And secondly, there is the decarbonization of thermal energy beyond steam, by which I mean the subset of industrial process heat that is suitable for electrification. To size this, we leveraged our sector and process knowledge to identify the industrial applications of heat, which are met through the direct burning of fossil fuels. For the applications that can be met through our electrification technology based on temperature and power load requirements, we convert total heat demand into the estimated heating power required to meet that need. As you can imagine, the resulting demand is huge, recognizing that this transition is a long-term endeavor, we've factored in a long multi-decade conversion. We estimate the potential market at GBP 4.2 billion annually. I'll now explain how we're positioning ourselves to address this market and what we're seeing from customers today because while we recognize the headwinds to adoption, especially in a cost-focused environment, we do continue to see demand. On this slide, you can see how we're working with customers to optimize, manage and ultimately decarbonize their thermal energy processes through 4 go-to-market strategies. Starting on the left and working right, energy optimization has always been at the heart of our customer value propositions in STS and ETS with our teams supporting customers to be more efficient through reducing their energy consumption, which in turn makes them more sustainable. Now over 50% of STS quotes include quantified sustainability benefits from our proposed solutions. Next, our new-to-world Target Zero solutions are developed through our unique combination of steam and electric thermal energy expertise and are designed to electrify the generation of steam. We've reached agreement with several global industrial boiler OEMs to incorporate steam vault technology into their electric boilers with our first pilot solution installed at a regional food and beverage customer facility and planned delivery of a second solution for installation in a chemical plant in the second half. ElectroFit, which enables the conversion of existing fuel-fired boilers to electric is being tested and refined with a global food and beverage customer at 2 production sites. Moving to PoweringZero, which utilizes our low voltage and proprietary medium voltage or MV technologies to replace the direct burning of fossil fuels. Following a successful pilot to build a decarbonized model of an OEM machine serving the paper industry, we are working on our first orders from this leading manufacturer, and we also recently secured an order for a bespoke MV solution for a renewable energy storage project. We are testing prototypes for the next generation of electric heating solutions operating at higher voltages and higher temperatures, which have the scope to further differentiate our competitive position while also expanding our addressable market beyond our current assessment. Finally, I'm pleased with the progress we've made in the first half to build our integrated steam and electric thermal energy assessment capability with an experienced team of audit experts drawn from STS, ETS and [indiscernible]. We are delivering pilots for customers in our target sectors, food and beverage, downstream petrochemicals and chemicals, validating customer appetite for a combined and holistic review of their thermal energy needs across steam and electric, recognizing our deep and unique combination of expertise. Having set out what I hope you'll agree are exciting future prospects, I'll now come back to our focus on the first half. Bringing everything together, I would summarize our performance as follows: Our first half results are in line with our expectations as we continue to meet the macroeconomic headwinds through executing on our strategy and focusing on the controllables. We are driving demand growth in our 3 businesses through execution of our powerful business model, and we are driving operational improvements across the group. As a group, we continue to deliver organic growth outperforming IP at industry-leading margins. And our organizational changes are delivering the funds to invest in accelerating future growth. In the balance of the year, we are not expecting a meaningfully improved trading environment. However, we remain confident in delivering on our operational priorities, which is why we're reiterating our unchanged guidance for the full year. Through our Together for Growth strategy, we're building a platform from which we will deliver our medium-term financial objectives and long-term compounding growth at attractive margins. Thank you. We are now happy to take your questions. So if you haven't yet posted these into the platform, please do so now. Our Head of Investor Relations, Mal, is monitoring the questions and will ask them on your behalf. So Mal, over to you.
Mal Patel: Okay. Thank you, everyone, for the questions that you've submitted on the portal. I think in order to be helpful to everyone, what I'm going to do is try and group them together into particular businesses or issues. I think you might find that most useful. So some questions on Watson-Marlow for the team. Firstly, given the stronger volume outlook that you expect in the second half, can you give us some color on what investments you're planning that would offset the operating leverage in Watson-Marlow in the second half?
Louisa Sachiko Burdett: Yes, I can take that one, Mal. So we've always talked about reinvestment of the savings of our GBP 35 million annual restructuring program going back largely into the business. So this is why we see the second half margins not going to be materially higher than the first half even despite higher volumes. The investment that is going into Watson-Marlow, and it's common across the group, but we're putting money into commercial sales headcount, new product development and digital as well as systems improvements. I think it's fair to say, though, that we still are confident that this division gets back to a 30% margin. It's well invested, and we will expect the volume drop-through to deliver that over the medium term.
Mal Patel: And can you give us some color on what you're seeing from OEM demand and specifically whether there is a shift in consumables versus nonconsumables OEM demand in Watson-Marlow?
Nimesh Balvir Patel: So as a reminder for everyone, end users account for about 75% of biopharm demand and OEMs are 25%. As we said last year, we've seen strong growth in end user demand in particular, which has continued into the first half. Now we serve a large number of end- user customers. And so it's not surprising to see variability in the demand that we see across the spectrum of that customers, but it is consistent with what we would expect given the underlying growth of the biopharm markets. In OEM, the challenge we faced last year was one of volatility. It's a small number of accounts that can actually have quite volatile demand from one account to the next and indeed, even for the same account from 1 month to the next. However, in the first half of this year, we have seen a reduction in that volatility and an increase in the overall demand from OEMs. And both together, the end user demand and the OEM demand is what has driven over 10% growth in orders in biopharm.
Mal Patel: And then finally, on Watson-Marlow for now, at least, can you talk us through the concrete steps that you're taking to move parts of production to Devens and what that might mean for costs and margins?
Nimesh Balvir Patel: Yes. So our new Devens facility in the U.S. was well timed given what is happening in the U.S. around tariffs in particular. It has always been our plan to move production into Devens in order to be able to serve the domestic U.S. market, and we are continuing and accelerating those plans. We have full capability in Devens, including clean room capability that can be used to help produce our single-use product portfolio that supports the biopharm industry. So what are we doing concretely? Well, we've started with last year training our teams locally in Devens by leveraging the expertise we have in our Falmouth plant in the U.K. and we've continued with that. We're obviously increasing our headcount through local hiring, and we will continue with those activities to support more of our domestic demand in the U.S. from Devens as time goes on.
Mal Patel: A couple of questions on Gestra. Could you give us a bit more color on the restructuring that you are thinking of doing at Gestra? And does this reflect the weaker trading outlook at business? Or is this more to do with you moving capacity around?
Nimesh Balvir Patel: So this is not linked to trading outlook in the business beyond the challenges that we face more broadly in a weaker IP environment. As I talked earlier about, we have been focused on operational excellence, which is really about maximizing the value we get from our existing manufacturing footprint. And as we have reviewed that footprint, we have found opportunities to be more effective and more efficient, which ultimately helps us, yes, save money, but also better serve our customers. And so we are exploring currently with the Works Council in Gestra how we can be more efficient and more effective in Gestra, better serving our customers and therefore, accelerating growth in that business. This is something that we will continue to do in all parts of our business across all of our manufacturing facilities around the world. For me, this is now normal behavior in the manufacturing environment.
Mal Patel: And then staying with steam, moving to China steam. Can you give us a feel for specifically in China, how your large project sales behaved in the first half and how you saw MRO growth? And then linked to that, can you tell us what gives you confidence that China -- the weakness that you're seeing in China is going to moderate in the second half?
Nimesh Balvir Patel: Yes. So I imagine that it won't be surprising to people that large projects, which are funded from customer CapEx budgets, have been impacted by lower business confidence in a more uncertain economic environment in no small part triggered by uncertainty around tariffs. China for us as well as Korea have been more significantly impacted by that driver, partly because whilst overall in steam, 85% of our sales come from OpEx budgets and 15% comes from CapEx budgets, in China, in particular, about 60% of sales come from CapEx budgets of our customers. And so what we've seen in China is a reduction in that large project demand. Now at the same time, MRO has grown double digits. Overall, China was down, and we said in our presentation that China and Korea together were down 9%. So I think you can deduce from that, that the large projects in China would have been down double digits. What we're pleased about is the moderating of that decline that we are seeing sequentially in the first half of this year and indeed in the second quarter of this year versus the first quarter. So we're seeing it in China in terms of a smaller decline versus prior year as time goes on. And that is also being offset by the continued double-digit growth in MRO. In Korea, we're seeing an increasing demand sequentially Q2 versus Q1. And in July and August, that trend has continued, which gives us confidence that post the elections in Korea and the proposed introduction of economic stimulus, we will see a recovery in the large project demand in Korea in the second half of the year. Overall, though, we're not getting carried away. We are calling for a combined China, Korea sales in H2 flat on H1, which will support our second half steam growth.
Mal Patel: And then staying with China and Korea, given the level of exposure to large projects in those 2 markets, how do you think about the cadence of MRO opportunities that arise from this large installed base?
Nimesh Balvir Patel: Look, I think the MRO opportunities are really exciting for us. As I've said before, we are unique in that market in having a direct sales engineering force, having these local customer relationships, being sectorized in the way in which we serve them and therefore, being able to walk the plant and identify optimization opportunities. So to be clear, our competitors cannot do that in the way that we can do that. So as the focus increases on getting more from the installed base, and by the way, not just our installed base, but the total steam installed base in China, that creates huge opportunities for our sales engineers, and we're seeing it. So that double-digit MRO growth I just talked about isn't just coming from our installed base. It's coming from replacing our competitors' products across customers that we have not served in the past, and at the same time, identifying new and additional sectors that we can continually address. So I think this leaves us with a stronger business in China in the future. And remember, in both China and Korea, these are 2 of our highest quality, highest margin businesses within steam and within our group.
Mal Patel: Moving on to ETS. Can you give us a bit more detail on what was behind the double-digit growth in semicon? Is this market improvement? Or is this specific to what you do?
Nimesh Balvir Patel: Yes. So in semicon, we are a niche player, for example, in not just atomic layer deposition for wafer fabrication equipment, but actually in thermal atomic layer deposition. So a niche within a niche. We have a handful of large customers that we work very closely with, starting right the way through from R&D to production of their equipment. So what we are seeing is specific to our business, those R&D programs and the success of our customers. And we have said that semicon demand improved in the first half, but remember, off a reasonably low base. So there's further to go there. What is encouraging here is how this supports our journey to delivering on our ETS margin of 20%, which we've also said and always said will be nonlinear. So there are 4 factors which will get us to that 20% margin. The first is a recovery in semicon demand because that is higher-margin business for us. The second is the increasing throughput in our manufacturing sites to be able to pull down on our strong order books. And I talked earlier about the fact that in Chromalox, we've seen a 25% increase in throughput versus 2023. The third is clearing some of our legacy orders, particularly in the industrial process heating part of our business and in Ogden, the larger bespoke projects that we have. And we made progress again on that in 2025, but there is more to do in the balance of this year. And finally, we have a real pricing opportunity in ETS. So semicon is just one component of that journey.
Mal Patel: So just to pick up on your answer there, you talked about legacy orders, and you've talked about the impact of those on the margin in the first half. Can you tell us where you are on clearing those and whether they will be cleared out by the end of this year?
Louisa Sachiko Burdett: So thanks, Mal. Yes, we've still got some legacy orders, which are still profitable for us. but we haven't been able to reprice for inflation. They have moderated the margin in the first half. But as we said at the -- at our full year results, we expect to clear these by the end of 2025.
Mal Patel: Can you talk to us a bit more about this order that you received from your data center OEM? What does that mean? How much did it contribute to the first half? What do you think it gives you in the second half? And is this something that we should expect more of? Or do you think it represents a headwind?
Nimesh Balvir Patel: I think the data center order is a brilliant example, as I talked about earlier, of how our sales and supply teams are working together, unlocking new sectors and it demonstrates the power of our ETS business in industrial process heating, in particular, through being able to design and deliver thermal energy solutions, in this case, electric thermal energy solutions because of our deep expertise. So really in the sweet spot of what we do in ETS. Now to put it in context, industrial process heating demand grew double digits in the first half. If we stripped out this larger order, the growth would still have been significantly above IP, okay? So I wouldn't read too much into that one large order in and of itself. But again, a pleasing example of what we're doing in ETS, and it will support our second half sales growth.
Mal Patel: Switching tack a bit. Louisa, could you give us a bit more detail on how you expect your restructuring cash and noncash costs to be split between this year and next year? And in the same vein, can you tell us a little bit more about how you see the phasing of cost savings coming through? And what you think a rough guide might be first half, second half?
Louisa Sachiko Burdett: So we're doing really well with the restructuring program that we announced at the end of last year. We had an objective to realize GBP 35 million of annualized savings. We're on track to do that. The cost envelope to deliver that has not changed. It's GBP 40 million. We expect the majority of that to be charged to our P&L this year. But obviously, because we are implementing this at different rates through 2025, the cash outlay will stagger into 2026. And we think that's probably around 70%, '25 and 30% '26. So if you're looking at your cash flow models, that's probably a handy heuristic for the restructuring costs.
Mal Patel: Okay. And can you remind us again what your guidance is for the full year on interest costs and CapEx versus sales?
Louisa Sachiko Burdett: So on CapEx versus sales, our half year percentage was 4%, and we are guiding a similar range for the full year, 4% to 5%. That's slightly lower than we guided at the full year. And our interest costs, we guided in the full year at GBP 44 million. We expect that to be around GBP 40 million. And it's worth just mentioning that the team have spent a lot of time focusing on the cash performance, making sure we're pulling more cash to the center. And as I said in my script, covering the restructuring costs within an improving cash position. So we are pleased with this.
Mal Patel: And while I've got you, Louisa, can you give us an update on where we are on your ERP rollout? How long do you expect it to take? What do we think about the total rollout cost, et cetera?
Louisa Sachiko Burdett: So we're still in relatively early stages. We are doing a common design across the 3 business units and corporate. We will be completing that around November and then move into an element of common build. To reassure listeners, I'll reiterate what Nimesh and I said at the Capital Markets Day that we will be looking at a rollout in a considered manner, putting some parameters about how much we spend each year and the risk -- the revenue at risk that we would be covering. We don't have a total program cost at the moment, but we'll update you on that as we go through the full year.
Mal Patel: Then just going back to steam. Nimesh, you talked about growing the sort of number of dedicated MRO salespeople in China. What's your target here? And how should we think about the investment required to increase the number of dedicated MRO engineers?
Nimesh Balvir Patel: Yes. So we will size our engineering force based on the opportunities that we continue to drive within China. But there's no doubt in my mind that, that engineering force will be larger than 20 people as time goes on. We've got to find the right balance between focus on large projects as that demand starts to recover and focus on MRO. In terms of funding this increase, it will come from the programs we've already talked about. So firstly, as demand comes back, as we drive sales and we look to reinvest the benefits of the drop-through, we will add to our headcount. And secondly, as we become more efficient in the way we run our business, for example, in manufacturing, and we've demonstrated the reduction in procurement costs, material usage. We've delivered continuous improvements in our manufacturing sites, which, by the way, has resulted in higher margins in all 3 businesses in our manufacturing activities in the first half. As we do that, we'll reinvest the benefits of that in the different growth opportunities that we have across our group, assessing them on their relative merits and the returns on investment that we can generate.
Mal Patel: Can I just come back to you on Watson-Marlow and how we should think about your mid-single-digit organic growth for the full year. That implies, in the second half, high single-digit growth. Do you expect that to be -- how do you expect that to be split between process industries and biopharm?
Louisa Sachiko Burdett: So you're right. Our full year guidance is mid-single-digit growth for Watson-Marlow, which indicates high single-digit growth in the second half. We expect that process industries will continue to perform above IP, which implies that biopharm is higher. But when you look at the key KPIs that we've been talking about in biopharm, orders are above sales, and we always said that, that would be a critical point for a second half recovery. So process industries above IP growth, bio slightly higher, delivering high single digits in the second half for full year, mid-single.
Mal Patel: And staying with biopharm, where -- can you give us some idea of how far you think you are from normalized levels of demand?
Nimesh Balvir Patel: I think there's further to go in the recovery. So if I look at the run rate in end user demand, I am comfortable that we are closer to having recovered amongst that constituency. With OEMs, we've seen a reduction in the volatility. We've seen a strong improvement but off a low base in demand. But I think there is further to go in the recovery of OEM demand.
Mal Patel: And then just going back to your overall guidance for the full year. You've talked about China and Korea and IP still being at risk. How should we think about your view on the overall macroeconomic conditions?
Nimesh Balvir Patel: So the macroeconomic conditions are likely to remain volatile, uncertain and potentially challenging. And I think that's reflected in the IP forecasts, but that's reflected in the news flow that we see when we wake up every morning. Equally, we are not overly preoccupied with what's happening to IP or what's happening in the macroeconomic environment because one of the things that I am proud of in the first half in terms of our performance as a group and what our colleagues are delivering is an ability to focus on where we see opportunity within our markets, within the geographies we serve. I think the example of China getting after MRO demand is a great example. I think distribution in the U.S. and how we're changing our model is a great example. I gave you the example of wastewater and what we've done there with sectorization in Watson-Marlow, EMEA. And of course, we talked about the data center order in ETS. So we have opportunity. So executing on our strategy is about making sure that we take the actions that are within our control to drive our own growth even in a more challenging environment. Are we immune to a challenging environment? Of course, not, but we can continue to drive growth.
Mal Patel: So I think we've got time for one last question. It also happens to be the last question on the list here. Could you discuss your overall approach to capital allocation? And specifically, what would you want to see before embarking on any share buybacks?
Louisa Sachiko Burdett: So this is consistent with what we've been saying for the last couple of years. Our main priority in terms of capital allocation is to reinvest organically in the business and to maintain a progressive dividend. We are continuing to be interested in small M&A opportunities, but large-scale M&A is not our current focus. And we are seeking to deleverage the balance sheet. We are making some progress, but we'd obviously like to come that down from 1.8x. We're not going to set a target at which point we are going to change that and think about share buybacks. But as Nimesh and I have said before, once we're along that journey, we'd love to start that conversation.
Mal Patel: Thank you. Louisa, I think we've run out of questions, but I'm going to hand back to Nimesh to wrap up.
Nimesh Balvir Patel: Thank you. Thank you, Mal. Thank you to everyone for listening and for your questions. I think the last thing I'm just going to say is I think we are all reassured by this set of results, which I think underpins the quality of our businesses. We're pleased and confident in what we can control through the execution of our strategy and the results that we are seeing from that. We have not changed our guidance, but what I think our set of results has helped to do is derisk delivery in the second half, but we recognize that this remains an unpredictable world. So we will be continuing to work hard to make sure that we meet guidance for the full year. So thank you, everyone, for joining, and I look forward to speaking to all of you again soon.